Operator: Good day. And welcome to the Hope Bancorp 2022 First Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded.  I would now like to turn the conference over to Ms. Angie Yang. Please go ahead.
Angie Yang : Thank you, Chuck. Good morning, everyone. And thank you for joining us for the Hope Bancorp 2022 First Quarter Investor Conference Call. As usual, we will begin -- we’ll be using a slide presentation to accompany our discussion this morning. If you have not done so already, please visit the Presentations page of our IR website to download a copy of the presentation or if you are listening in through the webcast, you should be able to view the slides from your computer screen as we progress through the presentation. Beginning on Slide 2, let me begin with a brief statement regarding forward-looking remarks. The call today may contain forward-looking projections regarding the future financial performance of the company and future events. These statements are based on current expectations, estimates, forecasts, projections and management assumptions about the future performance of the company, including any impact as a result of the COVID-19 pandemic as well as the businesses and markets in which the company does and is expected to operate. These statements constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future performance. Actual outcomes and results may differ materially from what is expressed or forecasted in such forward-looking statements.  We refer you to the documents the company files periodically with the SEC as well as the safe harbor statements in our press release issued yesterday. Hope Bancorp assumes no obligation to revise any forward-looking projections that may be made on today's call. The company cautions that the complete financial results to be included in the quarterly report on Form 10-Q for the quarter ended March 31, 2022, could differ materially from the financial results being reported today. In addition, some of the information referenced on this call today are non-GAAP financial measures. Please refer to our 2022 first quarter earnings release for the reconciliation of GAAP to non-GAAP financial measures. Now we have allotted one hour for this call. Presenting from the management side today will be Kevin Kim, Hope Bancorp's Chairman, President and CEO; and Alex Ko, Senior Executive Vice President and Chief Financial Officer. Peter Koh, Senior Executive Vice President and Chief Operating Officer is here with us as usual and will be available for the Q&A session. With that, let me turn the call over to Kevin Kim. Kevin?
Kevin Kim : Thank you, Angie. Good morning, everyone. And thank you for joining us today. Let's begin on Slide 3 with a brief overview of our financial results.  As we expected, many of the positive trends we experienced last year have continued in 2022. Most notably, we continue to see strong loan production volumes on expanding net interest margin and improvement in our asset quality. We generated net income of $60.7 million or $0.50 per share in the first quarter, up 18% from $51.6 million or $0.43 per share in the preceding fourth quarter. Our return on average assets and return on average tangible common equity increased considerably to 1.37% and 15.01%, respectively, from 1.16% and 12.85%. Moving on to Slide 4. While there were many challenges during the first quarter ranging from the Omicron surge to inflationary pressures to heightened geopolitical tensions, we continue to generate a high level of loan originations.  For the third consecutive quarter, we had more than $1 billion in total loan production, which is a record high for the first quarter and reflected a 21% increase over the first quarter of last year. Excluding PPP loans, our first quarter originations this year increased 89% over the loan production volume in the 2021 first quarter. The very strong loan production volume in the first quarter led to loan growth of 6.7% on an annualized basis, excluding PPP loans. During the first quarter, we continued to see robust levels of demand for commercial real estate loans. We had $578 million of commercial real estate loan production, which was down from the seasonally strong fourth quarter production but 86% higher than the first quarter of last year. We continue to benefit from our increased focus on multifamily lending. Multifamily loans accounted for approximately 17% of our total CRE loan originations this quarter. And as a result, our multifamily portfolio increased 13% from the end of the prior quarter.  As a result of our increased production of multifamily, warehouses and mixed-use facilities, along with the reductions in our hotel/motel properties, we continue to create a more diversified, lower-risk commercial real estate portfolio. We had $344 million of commercial loan production in the first quarter. As with the CRE loan production, this was down from seasonally strong fourth quarter. However, the C&I production in the first quarter was higher than any other quarter in 2021, excluding PPP loans, and more than double the non-PPP production we had in the first quarter of last year. Excluding warehouse lines, our commercial loan portfolio increased at an annualized rate of 16% during the first quarter. Within our Corporate Banking Group, the higher level of commercial loan production reflects the success of our efforts to add new banking talent that has increased our ability to target attractive vertical industries and expand our geographic presence. In particular, our telecom and media portfolios continue to grow. And we are seeing increasing production in our health care vertical following the addition of this team last year. Our SBA loan production for the first quarter totaled $57 million, which was slightly higher than the preceding fourth quarter, while we had a 27% increase in residential mortgage production. We generally saw good trends in loan pricing in the first quarter with the average rate on new loan originations increasing from the preceding quarter in each asset class. This resulted in our average rate on total loan production increasing by 16 basis points compared with the preceding quarter. The productivity of our banking teams has enabled us to generate a higher level of loan originations despite limiting our production of long-term fixed rate loans as part of our interest rate risk management strategy. Now I will ask Alex to provide additional details on our financial performance for the first quarter. Alex?
Alex Ko : Thank you, Kevin. Beginning with Slide 5, I will start with our net interest income, which totaled $133.2 million for the first quarter of 2022, which was fairly stable with the preceding fourth quarter but increased 9% year-over-year. Our net interest margin increased 8 basis points quarter-over-quarter to 3.21%. Excluding the impact of purchase accounting adjustments, our net interest margin increased 10 basis points quarter-over-quarter to 3.19%. The increase was primarily due to a more favorable mix of higher-yielding earning assets.  We also benefited from a 22 basis point increase in our average yield on investment securities due to slower prepayments, lower premium amortization and a higher yield on new purchases. Looking at the second quarter of 2022, we expect relative stability in our net interest margin. Increases in our loan yield from the anticipated rate hikes in the later part of the second quarter will likely offset our expected deposit cost increases. Most of our variable rate loans repriced immediately. Although a portion of our variable rate loans repriced on a monthly or quarterly basis. So we will not see the full benefit of the second quarter rate hikes until the third quarter. Given our improved deposit mix and a higher level of commercial relationships, while we expect deposit costs will increase in the near term, we believe our deposit beta will be lower this time around than what we experienced in the previous interest rate rising environment. We plan to remain conservative in deposit pricing. And we will continue to closely monitor our deposit and the liquidity position in light of the recent economic and global events that have taken place. Moving on to Slide 6. We remain in an asset position as of March 31, 2022, and are positioned to benefit in a rising interest rate environment. Of our new loan production in the first quarter, 43% represented variable rate loans. And as of March 31, 2022, variable rate loans also accounted for 43% of our total loan portfolio. Now moving on to Slide 7. Our non-interest income was $13.2 million for the first quarter, up slightly from the preceding fourth quarter. We have declines in international service fees as well as other income, which was primarily attributable to a fair value adjustment to equity investment and lower CRA investment dividend income. These declines were offset by an increase in net gains on sales of SBA loans due to an increase in both the volume of loans sold and the average net premium. Moving on to non-interest expenses on Slide 8. Our non-interest expense was $75.4 million, representing an increase of 2% from the preceding fourth quarter. The most significant variance was a 7% increase in our salary and benefit expense largely due to seasonally higher payroll taxes and vacation accruals as well as lower deferred loan origination cost. However, much of this increase was offset by lower levels of expenses in most other areas, including advertising and marketing, data processing, professional fees and OREO expenses. Now moving on to Slide 9. I will discuss our key deposit trends. As of March 31, 2022, our total deposits declined 3% from the end of the prior quarter, primarily representing a 21% reduction in time deposits. For the end of the quarter, we reduced our brokered money market and time deposits by approximately $350 million in light of a material increase in the cost of these deposits, which exceeded the cost of other funding options available to the bank. The cost of our interest-bearing deposits declined by one basis point quarter-over-quarter. But with the lower contribution of non-interest-bearing demand deposits, our overall cost of deposits increased by one basis point. Now moving on to Slide 10. I will review our asset quality. We saw continued improvement in asset quality in the first quarter as expected. Most notably, the strategic actions that we took in 2021 drove a 21% decrease in our criticized loans as sustained improvement in borrowers led to upgrade. Payoffs also contributed to the $106 million decline.  Non-performing assets declined by $9.4 million due primarily to a decline in accruing TDR loans as a result of payoffs. Following the portfolio derisking actions in 2021, our loss experience continue to be very low. We had just $1.5 million in charge-offs during the first quarter, while we had $19.4 million in recoveries, most of which related to one large relationship that was charged off in the third quarter of 2021. The significant amount of net recoveries contributed to a negative provision for credit losses of $11 million in the first quarter. The allowance for credit losses coverage ratio as of March 31, 2022, was 1.06% of loans excluding PPP compared with 1.02% as of December 31, 2021, while our coverage of non-performing assets increased to 145% from 126%. The increase in our coverage ratio reflects an increased level of risk and volatility in the macroeconomic forecast. Now moving on to Slide 11. Let me provide an update on our capital position and return. The increase in interest rate during the first quarter resulted in unrealized losses in our investment portfolio that negatively impacted tangible common equity per share by approximately $0.80. Despite the increase in unrealized losses in the first quarter, we remain strongly capitalized to support our continued balance sheet growth as shown on this slide. With that, let me turn the call back to Kevin.
Kevin Kim : Thank you, Alex. Now moving on to Slide 12. Before I discuss our outlook, let me briefly comment on our new $50 million stock buyback program announced in the first quarter. To date, we have not repurchased any shares under the new buyback program. While we believe the valuation of our stock still presents a good opportunity, the operating environment changed with significantly higher levels of volatility and uncertainty around interest rates, inflation and the overall general macroeconomic environment, which was further hampered by the war in Ukraine. We will continue to evaluate the situation closely. And when we believe it is opportune and prudent to do so, it is our intention to be active with buying back our stock under the current program. Now let me provide a few comments about our outlook. We continue to execute very well, and we expect to see a continuation of many of the positive trends that we experienced in the first quarter. That being said, I think it is fair to say that compared with the beginning of the year, there is now a higher level of uncertainty regarding the operating environment for the remainder of 2022 and a wider range of possible outcomes for our financial performance this year. Inflationary pressures, geopolitical unrest and the expectations for the number and pace of interest rate increases have all escalated over the past three months. And there is growing concern about a possible recession later this year or in 2023. While our loan pipeline remains healthy, it is difficult to predict how loan demand will be impacted later in the year by these macroeconomic and geopolitical headwinds. We are seeing some signs of stronger corporate clients pulling back from potential deals as pricing on new loans has increased.  With the increased productivity of our banking teams, the momentum we have in attractive vertical industries, our asset sensitive balance sheet and the success we are having in controlling expenses, we have many catalysts in place to drive further growth in earnings and returns. But we are mindful of the potential challenges to the operating environment, so we are cautiously optimistic at this point. And if the economy and loan demand remains strong, we expect to deliver another strong financial performance this year. We believe that the actions we have taken to significantly derisk our loan portfolio, reduce concentration levels, develop relationships with larger, stronger corporate borrowers and increase our exposure to lower risk asset classes should put us in a better position to manage through an economic downturn.  Over the past few years, the changes we have made to our business mix and the transformation of our balance sheet have significantly strengthened our franchise and improved our ability to operate in a variety of economic environments. While we are hopeful that economic conditions remain strong, we take gratitude in the fact that our organization is sounder and stronger than it has ever been.  As a result, we believe we can continue to deliver good results for our shareholders in a more challenging operating environment. With that, we would be happy to take your questions and add any additional color as requested. Operator, please open up the call.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Chris McGratty with KBW. Please go ahead.
Chris McGratty : Great. Thanks for the question. Kevin, maybe a high-level one to start. You guys have made tremendous progress in the balance sheet composition over the past five years. I'm interested in how you're thinking about how the deposit mix will shift with rate hikes and also just the pace of overall deposit growth.
Alex Ko : Sure, Chris. Yeah, I agree with you. We made a very good progress in terms of deposit mix, especially increase in the non-interest bearing deposits. The composition has gone up substantially, benefiting from the increase of our C&I portfolio. You might sense that in this quarter, there was a little bit of reduction on the non-interest-bearing deposits. But as I said earlier, there is some timing differences. There was one large customer, they kind of withdraw the balance for the quarter end. But as of now, we see the noninterest-bearing deposit balances coming back. It is slightly higher than the year-end balances. So I don't anticipate big challenges on the noninterest-bearing deposit accounts. For the CD accounts, we strategically lowered our CD balance. Because in the last interest rate rising cycle, we did -- have experienced those CDs has been the most rate sensitive. And it has been most expensive categories of the parties. So we strategically put disciplined pricing on the CD. So that actually triggered some attrition of the CD. However, in the rising rate -- interest rate environment and the Feds [ph] having a QT implemented in Q2, I think, so there is some cautious plan for us to prepare for the growth of the loan portfolio.  So I think there will be some extent of pressure for our deposit. But again, with the big success of our C&I portfolio and the good deposit mixes, I would expect the deposit beta will be lower than what we had experienced last time. But again, there's a lot of uncertainties and volatility in the market. So we are cautiously kind of monitoring those deposit beta.
Chris McGratty : Okay. Great. Thanks. I think last quarter, you referenced kind of a rule of thumb. Each quarter point was around $7 million annually to net interest income. Just interested, has that at all changed in the last three months? And as we get more frequent and sooner rate hikes, does the marginal benefit of that, I would imagine that declines as you get into hike 4-5 and 6?
Alex Ko : Yeah. Last time, we did say a 25 basis increases, we would expect $5 million to $7 million -- $6 million of increase in the net interest income. I think that is still the case. But compared to that, now, we expect more frequent and higher interest rate hike.  So let me give you a little bit more kind of a 50 basis point case increase that we expect in May and June, respectively. So if we see a 50 basis point increase in May, it seems like we would expect to benefit about $10 million to $12 million of additional net interest income for the next 12 months. And if there's an additional 50 basis point in June that would expect additional $10 million to $12 million of net interest income over the next 12 months.  But I also would like to note that the SBA loans kind of reprice on a quarterly basis. So together with a short term lag in the repricing of certain loans of our variable rate loans, we expect the rate hike in May and June would have largely benefit our net interest income beginning of the third quarter of 2022.  So I would expect 2022 overall, since we are well positioned for the asset-sensitive position, we will get the benefit. But second half of the year of the net income benefit, I think we are a little bit cautious because there is a lot of kind of uncertainty as we discussed for the economic trends and the rate and economic uncertainties.
Chris McGratty : Okay. That's great color. Thank you. Maybe just one more on the SBA. Net income has been creeping up the last few quarters in your fees. Any outlook or commentary you could provide about the either gain on sale margins and the pace of loan sale?
Kevin Kim : As far as we observed, the premium in the secondary market is holding up pretty nicely so far. And in terms of the volume of SBA loan sales in the coming quarters, so long as the premium in the secondary market remain at the current levels, we plan to sell the similar volume of SBA loans that we did in the first quarter.
Chris McGratty : Great. Thanks guys. 
Operator: The next question will come from Gary Tenner with D.A. Davidson. Please go ahead.
Gary Tenner : Thanks, good morning. I just wanted to ask a follow-up just on kind of the balance sheet structure. We saw the securities portfolio shrink a little bit this quarter. I'm just wondering, is that kind of as we saw some lower deposit balances in the quarter, did you just allow the cash flows to roll off? Or how are you thinking about managing kind of that side of the balance sheet on the asset side as we go through the next few quarters?
Alex Ko : Yeah. As I said, the deposit balance does have an impact on our overall asset size. And based on our disciplined pricing on CD, we did see some attrition of the CD plus there was some timing differences of noninterest-bearing deposits. And also we compared our overall funding cost, our broker deposit versus other funding sources available. And we did see quarter end --towards the quarter end, we did see a lot of interest rate increase on the broker deposit and broker borrowings. So we strategically lowered those broker deposits. But we still have a lot of ample funding alternatives, i.e., FHLB borrowings. We have more than $3 billion available. And also, we have about $2.5 billion of investment security, which is available for sale. And we keep it as a liquidity purposes as well. So in the projected -- our loan growth. I think we still have ample amount of funding resources available, including retail deposits and borrowings and also investment securities.
Gary Tenner : And then it sounds like with some resurgence this quarter or since the quarter end in terms of the noninterest-bearing DDA, your loan deposit ratio I think was 97% at quarter end, maybe it comes back down a little bit. But what's your -- like what's the range that you're looking to manage that loan deposit ratio when as you try to balance the cost dynamic on the deposit side with your loan demand?
Alex Ko : Yeah. Gary, like 97%, I think if you compare this rate like two-three years ago, it was normal. We used to have like 98% or close to 100%. But last two-three years, we maintained our loan-to-deposit ratio much lower. But this quarter, it went up. I think that is again due to our liability side, a temporary kind of reduction. So I would expect our loan-to-deposit ratio below 95%, certainly lower than 97% we have experienced in this quarter going forward.
Gary Tenner : Thank you. And if I could just ask one last question just on PPP, what the average PPP balances were for the quarter, Alex, and then the associated revenue that was recognized in the quarter.
Alex Ko : Sure. Our average balance for the PPP for Q1 was $165 million compared to Q4 was at $280 million. So there's a quite reduction. And the actual -- the PPP fee income recognized for Q1 was $4.1 million as opposed to Q4 $5.2 million.
Gary Tenner : So is there something like $2 million left of PPPs?
Alex Ko : Yeah. PPP fees Q4 compared to Q1, about $1 million lower.
Gary Tenner : I'm sorry. But -- and how much is remaining of PPP fees?
Alex Ko : Sure. The remaining as of March 31 is $2.96 million, so relatively small amount left.
Gary Tenner : Perfect. Thank you. 
Alex Ko : Sure. 
Operator: The next question will come from Matthew Clark with Piper Sandler. Please go ahead.
Matthew Clark : Hey, good morning. On the loan balances, it sounds like the mortgage warehouse was down about $320 million if you kind of back into the 16% annualized growth ex warehouse. Can you just remind us where those balances sit today and what you're assuming for the warehouse in your high-single digit to low-double digit loan growth this year?
Kevin Kim : Yeah. Let me respond to that. There has been no significant change in our warehouse lines available, which is just above $1 billion as of March 31, but the utilization has come down meaningfully alongside the industry trends.  So during the fourth quarter of -- well, if I look at the ending balance, the line utilization as of December 31 was a little higher than 51%, and that came down to 30% as of March 31. Although we believe that we have strong relationships with our existing client base, our current balance was just a little more than $300 million in outstanding balances as of quarter end. Warehouse lines outstanding represented only about 2% of our total loan portfolio. So any further decline, if any, in utilizations from this point will not be as strong a headwind to our loan growth as it once was a few years ago.  So I don't think it will be a big factor in terms of our loan growth projection. And we have -- we expect a really well-balanced and diversified portfolio growth across our CRE commercial and consumer portfolios. And I think we are good in terms of the low double-digit or high single-digit growth projection as of today.
Matthew Clark : Okay. Great. And then just shifting gears to the reserve to loan ratio, I think 106, excluding PPP, up about 4 basis points. You mentioned increased uncertainty around rates and inflation, geopolitical, all that stuff. Do you feel like we stabilize here? I know it's somewhat dependent on the macro factors, but do you feel like it grinds higher? Or do you feel like we stabilize here and just stay above where you were day one, I think, at 96 basis points?
Peter Koh : Sure. This is Peter. I can respond to that. As you know, notwithstanding the recovery, we did have some reserve build in the first quarter focused on the macroeconomic softness potentially coming from higher interest rates and all that. I think at this point, we are looking at this very carefully. I think there is a little bit too much uncertainty or volatility right now to make that type of projection in terms of reserve levels going forward. But it will be a reflection of various factors and variables, I think, really depending on how we view the overall macroeconomic environment as we move forward. As you know, the reserving process under CECL is a life-of-loan reserving process. So we look out over the course of the life of the loan, which covers some of the uncertainty we're starting to see potentially rising in late 2022, perhaps 2023.  So it's a little bit too early to determine that. But we are comfortable with the current reserving levels at 1.06%. We felt that the slight build this quarter was appropriate based on what we're seeing.
Matthew Clark : Okay. And then just circling back to the margin outlook. Relatively stable margin in the near term, sounds conservative. And maybe that's just for the upcoming quarter, but it sounds like we should see some expansion with the repricing of that loan portfolio. Maybe just to confirm that. And then the 43% contribution of variable rate loans, I mean, do you feel like you're going to pull through 43% of the Fed rate increases over time? Or do you feel like competitive pressures might dampen that?
Alex Ko : Sure, Matt. Let me answer the net interest margin kind of projection. Yeah, it was more Q2, we expect it will be stabilized. And also, as I mentioned earlier, the full impact of the variable rate, the 43% of our loans will be in the third quarter, Q3 because some time lag, like i.e., SBA loan is repriced at a quarterly basis.  So there is definitely some conservatives embedded in this year. And also on the liability side, deposit side, I'm fairly comfortable that our deposit beta will be much lower than our loss interest rate raising environment. But I want to put some kind of cautious mode in here because of uncertainties.  And we still have a lot of funding resources available, just be cautious for the economic variables and QT and the inflation and the interest rate, all those kind of things. So I kind of agree with you, there is some conservative outlook included in our NIM projection, especially for the second half of the year.  And also, I think a second question about the 43% of variable rate loans. Do we expect that have a full impact from the interest rate increase? Yeah, even though there will be some lag quarterly versus immediately. But I think it will impact, but I also wanted to mention the real severe competition that we see in both variable and fixed rate loan portfolio as well.  So again, we would hope for and we would expect that impact from the increase on the variable rate loan. I think we will see most of them. But again, some competitive pricing pressure from our competitor market pricing perspective.
Matthew Clark : Okay. Thank you very much. 
Operator: [Operator Instructions] Our next question will come from Tim Coffey with Janney. Please go ahead.
Tim Coffey : Great. Thank you. Good morning. Thank you for the questions. Just looking at the expense guidance, say, averaging right around 1.7% of average assets. Does that imply a growth rate in the kind of mid to high-single digit range for the year?
Kevin Kim : Yes. That's correct.
Tim Coffey : Okay. Okay. And then, Alex, what's a reasonable level of cash that you'd like to have on the balance sheet? Is it closer to that -- was it below the period-end level of around $280 million?
Alex Ko : Yeah. As you might notice, we actually deployed our kind of excess cash to the higher-earning assets. And that is one of the reasons why we did see the margin expansion like 8 basis points reported and 10 basis points excluding those PPP and other accretion. The level of the cash at this time, Q3 -- March 31, we have about $280 million compared to last year, $376 million, that's almost $100 million reduction.  So I do not expect that cash due from bank balance itself will decrease substantially. But as I mentioned earlier, the investment security, we have about $2.5 billion. And if we need to, we might be a little bit slow in terms of reinvesting in the investment security rather those paydown payoffs we might use for funding the loan portfolios.  So to answer your question, I don't anticipate a substantial reduction of the cash and cash equivalent balances that we saw in March 31 going forward.
Tim Coffey : Okay. Thank you. I appreciate that. And then, Alex real quick. What deposit beta are you using from the last cycle? What was the range there?
Alex Ko : Last cycle was about 75% ranges. It was quite high. But firstly, I expect it will be much lower deposit beta for this cycle.
Tim Coffey : Right. Okay. Great. And then just on the SBA production that you're anticipating in the forward quarters, do you get any sense that you might have pulled some of that forward and borrowers taking advantage of getting in before the rates start to move higher?
Peter Koh : We do see some potential headwinds developing in the small business area. So I think that will potentially impact the small business SBA loan customers as well. But it's hard to say whether it's been pulled forward or not. The loans that we do are generally all variable rate loans. So there will be some potential headwind there. But as we look at our pipeline, we don't see much impact yet. We actually think that if the economy continues to perform well, I think we'll have very good production levels in SBA throughout the year.
Tim Coffey : Okay. Great. Thank you very much. Those are my questions. 
Peter Koh : Thank you. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks. Please go ahead.
Kevin Kim : Thank you. Once again, thank you all for joining us today. We hope everyone stays safe and healthy. And we look forward to speaking with you again in three months. So long, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.